Operator: Thank you for standing by. And welcome to the First Hawaiian Bank First Quarter 2025 Earnings Conference Call [Operator Instructions]. As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Jamie Moses, CFO. Please go ahead, sir.
Jamie Moses: Thank you, Jonathan. And thank you, everyone, for joining us as we review our financial results for the first quarter of 2025. With me today are Bob Harrison, Chairman, President and CEO; and Lea Nakamura, our Chief Risk Officer. We have prepared a slide presentation that we will refer to in our remarks today. The presentation is available for downloading and viewing on our Web site at fhb.com in the Investor Relations section. During today's call, we will be making forward-looking statements, so please refer to Slide 1 for our safe harbor statement. We may also discuss certain non-GAAP financial measures. The appendix to this presentation contains reconciliations of these non-GAAP financial measurements to the most directly comparable GAAP measurements. And now I'll turn the call over to Bob.
Bob Harrison: Hello, everyone. I'll start by giving a quick overview of the local economy. Overall, flight economy remains stable but uncertainties increasing due to recent weakness around international rivals and the lack of clarity about consumer confidence. Statewide seasonally adjusted unemployment rate remained stable in February at 3% compared to the national unemployment rate of 4.1%. Through February, total visitor arrivals were up 1% and spending was up 4.5% compared to 2024 levels. Maui has seen the largest increases in arrivals and spend among all the islands. Also, the housing market remains stable. Turning to Slide 2. We continue to perform well in the first quarter. Net interest income increased versus the prior quarter. Noninterest income was stable and expenses remained well controlled. Declining deposit costs in the fourth quarter investment portfolio restructuring helped drive a 5 basis point increase in NIM. And then finally, credit quality remained excellent, and we added to the reserve due to increased macroeconomic uncertainty. Turning to Slide 3. The balance sheet remains solid and we are well positioned to support our customers. We continue to be well capitalized with ample liquidity. During the first quarter, we repurchased about 974,000 shares at a total cost of $25 million and we have $75 million in remaining authorization under the approved 2025 stock repurchase plan. Turning to Slide 4. Total loans declined $115 million or 0.8% from the prior quarter. The decline was primarily due to commercial real estate loans where we experienced both scheduled and early payoffs and a few large credits. Growth within the C&I portfolio was partially offset by the normal fluctuations in dealer flooring, which declined by $28 million. Now I'll turn it over to Jamie.
Jamie Moses: Thanks, Bob. Turning to Slide 5. While total deposits declined slightly in the first quarter, we were pleased with the underlying performance of the retail and commercial deposit bases. Retail deposits increased $105 million in the quarter while commercial deposits more than offset that falling by $167 million. The decline in the commercial book was largely due to normal fluctuations in a few of our larger accounts but were not reflective of any larger underlying trends. Our total cost of deposits fell by 11 basis points as the benefit from the Q4 rate cuts was fully priced in as well as the repricing trends from approximately $1.4 billion of CDs in the first quarter. Our noninterest bearing deposit ratio remained an enviable 34%. On Slide 6, we see how the deposit performance benefited net interest income and the margin in the quarter. Net interest income was $160.5 million, $1.8 million higher than the prior quarter. The increased NIM in the first quarter was a result of those lower deposit costs and the benefit from the Q4 investment portfolio restructuring, which taken together offset some of the effects of the decline in the yield of our floating rate loan portfolio. Looking ahead, the underlying balance sheet dynamics driving the NIM remain intact and we anticipate that the NIM in the second quarter will increase a few basis points to [3.10]. I want to also point out that given the current macro environment, the level of uncertainty around our outlook has increased. Turning to Slide 7. Noninterest income was $50.5 million and noninterest expenses were $123.6 million. There were no significant nonrecurring noninterest income or expense items in the quarter and our full year outlook for both of those lines remains the same. And now I'll turn it over to Lea.
Lea Nakamura: Thank you, Jamie. Moving to Slide 8. The bank maintained its strong credit performance and healthy credit metrics in the first quarter. Credit risk remains low, stable and well within our expectations. We're not observing any broad signs of weakness across either the consumer or the commercial books. Classified assets decreased by $3 million due primarily to paydowns. Year-to-date net charge offs were $3.8 million and our annual year-to-date net charge-off rate was 11 basis points. Nonperforming assets and 90 day past due loans came in at 17 basis points at the end of the first quarter, down 2 basis points from the prior quarter. Moving to Slide 9. We show our first quarter allowance for credit losses broken out by disclosure segments. The bank recorded a $10.5 million provision in the first quarter. The asset ACL increased by $6.2 million to $166.6 million with coverage increasing 6 basis points to 117 basis points of total loans and leases. The reserve build reflects the more pessimistic forecast available to the economic forecasting component of our CECL model. We believe that we are conservatively reserved and ready for a wide range of outcomes. Let me now turn the call back to Bob for any closing remarks.
Bob Harrison: Thank you, Lea. Thank you, Jamie. Now we'd be happy to answer any questions.
Operator: [Operator Instructions] Our first question comes from the line of David Feaster from Raymond James.
David Feaster: I wanted to start on the loan side. I appreciate some of the commentary on -- in the release and what you alluded to, Bob, about just the strength of the economy. I'm curious maybe starting with the pulse of your clients. Like how is the post -- obviously, there's a ton of uncertainty, but just curious again about the pulse of the economy, how is the pipeline shaping up, expectations for pull through? And just again, how much of that decline in CRE this quarter was driven by that weaker demand or how much payoffs and pay downs?
Bob Harrison: Let me start on that and then Jamie or Lea have comments, we'll let them certainly join in. Actually, average loans for the quarter was up over Q4. So it really was just a few things during the quarter. We participated along that we originated in Q4. We participated out in Q1 just kind of normal stuff. The dealer paydowns is very typical to see a buildup at year end and then some of that come off in Q1 and then we had some other paydowns. So there wasn't anything in Q1 that we thought was unusual. We do think that we are seeing the pipeline being pretty strong out there but there's more uncertainty in the market. I mean you heard that with Lea's comments the modeling is -- there's modeling and a little bit more uncertainty. So we think it's fine but we certainly can't tell what's going to happen in the back half of the year. We think there's opportunity there, everything else being normal.
David Feaster: And then maybe touching on the other side of the balance sheet on the deposit side. You guys had a lot of success repricing deposits and doing some remixing. Obviously, there's some seasonality this quarter. I'm just kind of curious maybe the competitive landscape on the deposit front. How much leverage is there left for you to continue to reduce deposit costs. Just kind of curious what you're seeing there.
Jamie Moses: I guess what I think is that when we see rates continue to decline, we'll still have opportunities to also bring down those deposit costs as well. We've had a pretty strong beta in the -- from a downturn perspective and I think that, that beta begins to decelerate but still exists. It's tough to go much lower than [1.43] from this point versus being at 2% or something like that and there's just a lot more room from that perspective. And also, we pride ourselves on having full relationships and having -- really grabbing those operating accounts from folks. And so having more DDA also limits our ability to reduce rates even further. But I don't think we want to apologize for that. I think that we have pretty good deposit performance and we're happy with how that's working out for us.
Bob Harrison: The only thing I would add to that is we're very pleased with the increase in the retail deposits of $100 million, that really shows that we're out there. The teams are out there serving their customers and growing their relationships. Literally a handful of large commercial accounts, they're all still great customers of ours and just the fluctuations at the end of the quarter went negative instead of staying stable or going up. So we weren't concerned about the drop on the commercial side either.
David Feaster: So if I'm hearing you, Jamie, exclusive of rate cuts, not a ton of room that wood to chop, if you will, on the deposit cost side?
Jamie Moses: I think that's right. There's some ability still related to CD repricings that we have in the second and third quarters. But apart from that, I don't think there's a whole lot for us to really be able to do there.
David Feaster: Can you remind us what those roll-off rates are and where you're pricing new CDs?
Jamie Moses: So it fluctuates a little bit but we're probably getting 20 to 30 basis points in total spread on that repricing.
David Feaster: And then just the last question I wanted to touch on was on the expense side. It came in better than expected here in the first quarter. Seasonally, there's some headwinds, right, with FICA bonuses, raises and all that kind of stuff, but still reiterated the guidance at $5.10. Could you just maybe touch on the trajectory over the course of the year, where you're investing in and maybe some projects or just kind of how you think about expenses this year.
Jamie Moses: I mean, I think we're always looking to invest in the business and into our people, right? That's an important component to us, maybe the most important component for us. So I think that we just -- there was some slowness in the first quarter in expenses. And we expect that, that should that should ramp up over the year, but committed to staying within the guidance that we gave. I think to the extent that there are other opportunities, there's some projects and things that we might put in the queue that can generate ROIs for us in the coming years. But we want to make sure that the outlook, we're a little more certain of the outlook before we make those kinds of investments. So it's really a combination of those things. We're going to keep the guidance the same for now and there are obviously possible levers depending on what happens out in the world.
Bob Harrison: Maybe just to add a little bit to that. As we've talked about in the past, we kind of did the big tech spend over the last several years. So there's always projects that we're working on and certainly in data and analytics and other areas that we're trying to provide value to the line folks who better do their jobs and take care of our customers. But it's not on the scale that we've had in previous years, which has allowed us to kind of keep our guidance where it is and work maybe one quarter or a little below but we're still keeping that guidance.
Operator: And our next question comes from the line of Jared Shaw from Barclays.
Jared Shaw: When I'm looking at the growth in the allowance and you mentioned sort of the qualitative overlay there once -- if we assume that UHERO sort of catches up to the expected slower visitor arrivals. Do you just feel like that qualitative overlay is this sort of front loading some of that or could we expect to see the ACL ratio go up if the UHERO deteriorates?
Lea Nakamura: So it's not the qualitative overlay, it's the quantitative portion of the model that generated that increase. So we do put in more than just UHERO, it's a multiple of factors. So it's hard to say what will happen with the coverage ratio.
Bob Harrison: One of the things that actually happened during the quarter was, that changed a little bit as we saw better performance on Maui and so now we're reducing some of that qualitative overlay and other things are kicking in to Lea's point. So there's a lot of different factors in that.
Jared Shaw: And then could you just sort of walk through the -- some of your thoughts around the floor plan businesses, exposure to tariffs and if we do end up seeing significantly higher pricing for imported cars? Is that -- how does that sort of impact the dynamic of floor plan, either balances or credit or growth there?
Bob Harrison: And we ended the quarter a floor plan at $661 million, so that's certainly up off the base and well below the all time highs, but business is different now. I guess I would start with the dealers and certainly, our dealers are very good business people and we saw this during COVID that they were able to really pivot and move from selling new cars and selling used to doing service and adjusting their cost structure. So from a credit perspective, never say no. But we're not -- we don't have any concerns out there on the credit. Regarding the balances, that's just going to be a factor of what's happening with tariffs should they be put in place. What we saw and what we're hearing and reading, like everybody else, is that there was some pull through at the end of the third quarter and maybe into April of people may be doing purchases in anticipation of that and wanting to get the car they wanted now. There's still a lot of uncertainty. The tariffs will stick on which countries they'll be applied, is it to subsidiary parts or not, how that works. The other factor we haven't heard anything about is what manufacturers will do to support the dealer network, that's just an unknown. Will they be there to support the dealer network, will they pass through the cost. All these things are going to become clear over the next weeks and months. So we're very comfortable with the credit. They're good operators. We'll just have to -- on the balances side, we'll just have to see how that plays out to be candid.
Operator: And our next question comes from the line of Kelly Motta from KBW.
Kelly Motta: I think maybe turning to deposits. Can you remind us the seasonal trends there and what we should be expecting in the upcoming quarter, given whatever line of sight you have into that?
Jamie Moses: So as we would expect there should be some tax implications in the first quarter as folks pay taxes and so draw down some balances. What we've seen in the past is that really the back half of the year is where the deposits start to build. What's different is that -- what's different for us this quarter and what makes it a little bit tough to sort of prognosticate at the moment is that we did see that really good increase in retail deposits in the first quarter. And so it really kind of just depends on how those sort of trends play out relative to the commercial deposits, right? So we mentioned earlier we have some accounts that have large fluctuations on a normal basis. And so kind of depending on where the quarter ends, they're either up or down. But I think in general, we're seeing good net account growth. We're seeing good customer growth and that's a credit to our retail teams. They're doing a great job out there and the Street is just making connections and servicing our customers. So I think that's just part of what we do and we're generally pretty happy with where that's going.
Bob Harrison: The only thing I would add to that, similar to the loans, the average deposits for the quarter were up over the fourth quarter. So this is kind of a normal fluctuation in mix. What that tells us about the future is a little less clear given the uncertainty in the market conditions, et cetera. But the economy is still growing, great production by the retail teams to Jamie point.
Kelly Motta: And I guess maybe last question from me. It looks like average cash balances were elevated a bit in the quarter. Tying that in with your commentary just now about deposits potentially being growth being potentially picking up in the back half with seasonal trends. Would you expect the overall size of the balance sheet to grow commensurate with that or are you still funding some of the potential loan growth with cash flows off the securities book? Just trying to round out to get a good sense of the size of the balance sheet.
Jamie Moses: I think the answer is that you actually hit it on the head, which is that to the extent that our deposits are growing, the size of our balance sheet will grow along with that. There's a chance that maybe those cash balances were a little bit elevated. And so the size of the balance sheet may be slightly smaller but sort of the efficiency of that balance sheet should be better. So in terms of NII, if that's what you're thinking about, I think that's probably exactly the right way to think about it.
Operator: And our next question comes from the line of Anthony Elian from JPMorgan.
Anthony Elian: Just following up on loan growth. Do you think second quarter could be a growth quarter for total loans? And then what are you expecting on a full year basis still that low to mid single digits range?
Bob Harrison: So I guess -- well, first of all, I'll start with the full year. We haven't changed our guidance. There is uncertainty out there but we still think there's an opportunity to get to low to mid single digits depending on what happens in the economy, again, subject to tariffs, so the earlier discussion on any impact on the auto dealers, et cetera, but we're still optimistic on that. As far as Q2, it's a little harder to see. There's a number of loans in the pipeline. One thing that uncertainty does create is probably fewer of the construction loans being refinanced the multifamily primarily. Given the takeouts in different markets, CMBS, et cetera, is a little more difficult right now that they might be more likely to move into many [parts]. So these are all things we're watching and talking about, talking with our borrowers about, but there is a number of deals in the pipeline. It'd be just hard to pin which quarter we think the growth will be in throughout the rest of the year.
Anthony Elian: And then my follow-up, you provided good color on the dealer floor plan loan portfolio, not concerned about the credits there. Are there any other loan portfolios more broadly you're maybe paying a closer attention to given the heightened exposure to tariffs, manufacturing, supply chain, anything like that, anything proactive you're doing now on those portfolios?
Bob Harrison: The kind of broad base of C&I is something we're also staying close to our customers on C&I ex-dealer, which we talked about earlier. It's just a variety of businesses in there and the impact of what's happening with not so much tariffs, writ large and any -- we don't have any industries that are directly impacted but a lot of small businesses are obviously going to be impacted by higher costs associated with goods that are imported from somewhere else. And so that's something that the credit teams and the line are spending a lot of time talking about just to stay close to those customers. Nothing at surface yet to Lea's earlier comments that is something just the heightened awareness for us.
Jamie Moses: And Tony, just to add just quickly to that, the credit and risk teams, they feel really strongly that the impacts of tariffs and other disruptions is sort of really customer dependent, not necessarily by portfolio. And so this is where it's really helpful that we have such strong relationships with our borrowers that we're able to really be tight with them and really understand their businesses so that we can really understand what those impacts are and work through and with them throughout the course of time.
Operator: And our next question comes from the line of Andrew Terrell from Stephens.
Andrew Terrell: Jamie, if I could just start on the margin. Would you happen to have the spot deposit cost at the end of the period and then maybe the margin in the month of March?
Jamie Moses: Yes, spot deposit cost was [1.41] and the margin in March was [3.10]. So embedded in our forecast, right, is that there's going to be a rate cut in June. And so that [3.10] guidance that I'm giving is inclusive of that as well. And so that's why maybe it seems like it's not expanding off of March, that's the reason the rate cut in the forecast would offset that.
Andrew Terrell: And then could you just remind us on the buyback. I saw you guys were active this quarter, this past quarter. There's obviously a bit of volatility in the market. Just expectations around the buyback moving forward. And specifically, any interest in maybe accelerating the pace of buyback given some of the volatility we've seen?
Jamie Moses: I mean I think that there's definitely interest when the price is lower, right? But I think the way to think about it and the way that we're trying to be real careful and think about it is that this is a program that we have in place and we're trying to do things very programmatically. That doesn't necessarily mean that there won't be acceleration of the buyback when we see opportunities. But just broad based when we're thinking about it, we're thinking about this not trying to time markets and things like that, we're just -- we're really trying to just put this program in place to return capital to the shareholders. So it's possible but I would think that it's more likely the [25] per quarter kind of thing is where we're more looking at.
Operator: And our next question comes from the line of Andrew Liesch from Piper Sandler.
Andrew Liesch: Just a quick question to follow up on the margin commentary here. So you're going to be [3.10] for the second quarter. How quickly can you offset any rate cuts? So if we look out further into the year, is it -- can you offset the rate cut in the third quarter and keep the margin flat at [3.10] or is there going to be an initial drop? I know you have a fair amount of asset repricing that's still going to be at a positive differential. So do you think you can hold the margin flat or do you think the margin will be down in the quarter?
Jamie Moses: I think that's going to be dependent upon our loan growth. And so if we're able to grow loans at a very good clip then there's a chance that we can fully offset that in a quarter. If not then maybe you'll see a small decline but then you should continue to see a general march higher when those repricing dynamics continue. So it's tough to say without knowing all the moving parts around that. But there -- as we said, there's opportunities in our rate sensitive deposits and then we have the CDs that also reprice in the second and third quarter. So I feel confident that we -- once we hit a rate cut, we reprice things, it's obviously lower but then we have the ability to then drive it higher. So those fundamentals are -- still remain intact.
Andrew Liesch: And then just a follow-up question. What's the tax rate you should be using here?
Jamie Moses: 23%, we think, is a good number for the year.
Operator: And our next question comes from the line of Timur Braziler from Wells Fargo.
Timur Braziler: Starting big picture for me, just looking at tariffs. I guess, where could tariffs potentially be more multiplicative for Hawaii, given that there's just more stops along the way for [3C Island]. And then, Bob, maybe you can help frame the risk both from the tariffs and then what's slowing visitor arrivals [indiscernible] economy?
Bob Harrison: I guess broadly from tariffs, Jamie touched on it a bit earlier. We don't have businesses that are doing manufacturing that you're seeing things come in. I guess one of the concerns would be and we didn't touch on this yet, so a very good question, would be in construction, are you seeing higher raw material costs or where could that take us. No projects have been canceled by any of our customers. The developers are, of course, working closely with contractors to make sure that the prices are solid before they launch into a project. So that's more of a look forward opportunity that creates a little bit of uncertainty around that. Given the importance and strength of construction in Hawaii that's maybe the area that you'd look to but we have some pretty conservative contractors too. I know one that whenever they bid a job, then they get awarded, they buy all the materials right then to make sure they lock in their cost. So it really depends on the customer and the situation. But clearly, if there's a dramatic increase in construction material costs that are -- some of which are important, that could, in the future, affect construction. That's really the only one. The other point that Jamie made that it kind of ties into various C&I loans of customers, we're just staying close to people on that. Maybe the last thing is as it affects tourism, I think was the last part of your question, their stories up. We haven't seen any evidence of foreign visitors being less willing or more reluctant to travel to the US, which could include Hawaii as well. But we're seeing a tiny bit in the numbers through February but the numbers haven't come out yet for March, and future bookings is anybody's guess. So that's something we're watching closely and staying in close contact with our hospitality customers. Does that answer your question?
Timur Braziler: It does, yes. And then I guess just second for me, looking at the reserve build this quarter, it seems like much of that was driven by the consumer portfolio. I'm just wondering kind of just some broader thoughts around your consumer exposure and just the thought process of building that reserve over these last couple of quarters?
Lea Nakamura: So it was, again, driven by the economic forecasting model and then how it gets allocated out, I know what slide you're looking at. But how it gets allocated out is then a different methodology. Overall, consumer, we haven't seen the kind of deterioration that one might have expected based on the forecasts that are being set into the model. So it's performing well for us still. We are concerned about it because as your questions indicate, Hawaii is vulnerable to tariffs, decreases in federal spending, et cetera. But so far, consumers held up even though we're -- again, another thing to watch very closely. So many different things to watch closely now.
Bob Harrison: And maybe it's worth mentioning on the federal spending, the Defense Secretary stopped by on his way to Asia, made a very strong statement that Indo-Pacific Command is going to remain fully funded, given its mission here in the Pacific and all the way through India. That doesn't mean there won't be impacts. There's a number of other things that federal government is looking to reduce costs on that will affect Hawaii but kind of the largest driver in of itself, which is Department of Defense Indo-Pacific Command appears to be at least on most recent statements as of whatever it was a week, 10 days ago that won't be subject to any [consequences].
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Jamie Moses, CFO, for any further remarks.
Jamie Moses: Okay. Thanks, Jonathan. We appreciate your interest in First Hawaiian. And please feel free to contact me or Kevin Haseyama, our Investor Relations Director, if you have any additional questions. Thanks again for joining us and have a great rest of your week.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.